Operator: Good day, ladies and gentlemen, and welcome to the Solar Capital Limited First Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, today’s conference may be recorded. I would like to introduce your host for today’s conference, Mr. Michael Gross, Chairman and Chief Executive Officer. Sir, please go ahead.
Michael Gross: Thank you very much and good morning. Welcome to Solar Capital Limited’s earnings call for the first quarter 2016 ended March 31. I’m joined here today by Bruce Spohler, our Chief Operating Officer; and Richard Peteka, our Chief Financial Officer. Before we begin, Rich, could you please start off by covering the webcast and forward-looking statements?
Richard Peteka: Sure. Thanks, Michael. I’d like to remind everyone that today’s call and webcast are being recorded. Please note that they are the property of Solar Capital Limited and that any unauthorized broadcasts, in any form, are strictly prohibited. This conference call is being webcast on our website at www.solarcapltd.com. Audio replays of this call will be made available later today as disclosed in our earnings press release. I would also like to call your attention to the customary disclosures in our press release regarding forward-looking information. Statements made in today’s conference call and webcast may constitute forward-looking statements, which relate to future events or our future performance or financial condition. These statements are not guarantees of our future performance, financial condition or results and involve a number of risks and uncertainties. Actual results may differ materially as a result of a number of factors, including those described from time-to-time in our filings with the SEC. Solar Capital Limited undertakes no duty to update any forward-looking statements, unless required to do so by law. To obtain copies of our latest SEC filings, please visit our website or [Technical Difficulty] 1670. At this time, I’d like to turn the floor back to our Chairman and Chief Executive Officer, Michael Gross.
Michael Gross: Thank you, Rich. In the context of a volatile market environment, Solar Capital makes steady progress in the first quarter. Our conservative approach during the frothy credit markets over the past two years has resulted in us having a portfolio with strong credits and fundamentals together with available capital to drive our earnings at the right time in the right investments. The first quarter of 2016 was quiet with syndicated leverage loan and high-yield new issuance, given the heightened market volatility and continued economic uncertainty. The choppy public markets impacted middle market sponsor activity and what is traditionally a seasonally slow first quarter. Private equity buyers remain cautious during the quarter, given the recent financial market instability and valuation discrepancies between buyers and sellers. As a result, overall sponsor-driven middle market volume declined 21% quarter-over-quarter, the lowest levels recorded since the second quarter of 2013 according to PitchBook. And the value of upper middle market transaction volume fell over 70% compared to the fourth quarter 2015. This trend has begun to revert itself reaching a recent pickup in sponsor activity supported by the record levels of capital raised by private equity fund managers over the past two years. Solar remains focused on building the portfolio of earnings power for utilizing our available capital to make prudent investments across additional cash flow lending, asset-based lending for Crystal Financial, our senior secured unitranche program SSLP and Voya and PIMCO and our life science lending platform. As a result of slower sponsor activity, we had modest net originations in the first quarter, but that doest not tell the entire story. Approximately, $75 million of the $100 million of our total platform origination in the quarter came from our Crystal and life science lending team. The life science and asset-based origination demonstrate strategic value of having diversified sourcing engine. In addition, we’ve made substantial progress during the quarter to accelerate the growth and diversification of our life science portfolio. Last week, we completed the purchase of Capital One Healthcare Life Science Finance portfolio, which Capital One had acquired from GE Capital in 2015. The approximately $74 million par value portfolio purchased by Solar Capital is comprised of senior secured first lien loans, many of which were underwritten by members of our life science team, while they were previously employed by GE Capital. Based upon the purchase price, we expect a mid-teens IRR on the acquired portfolio. The transaction, which were offered to us on exclusive basis is expected to contribute just under $0.02 per share and net investment income in the current second quarter and approximately $0.03 per share in the third quarter, sending us well in the path in 2016 to increase our net investment income beyond the current $0.40 quarterly distribution. This opportunistic purchase put us ahead of the schedule on our three-year business plan for life science lending and accelerates the ramp towards our $250 million portfolio target. In addition, it enhances Solar Capital’s position as a leader in life science venture lending. We’ll provide additional details of this important development. From year-end, our net asset value increased 1.4% to $21.08 per share at March 31. As a result of combination of mark-to-market gains spurred by the late quarter market rally and fundamental improvements of few investments. We continue to expect more recovery of the mark-to-market write-downs we experienced over the second-half of 2015. At March 31, 2016, the credit quality of our portfolio remains strong with only one legacy investment on non-accruals, representing less than 0.6% of the cost of our portfolio. We have no direct exposure to oil and gas for commodities industries. Given the unpredictable economic and market environment, we will be selective in terms of deploying new capital and we will continue to focus our sourcing efforts on noncyclical defensive industries with high visibility and recurring cash flows. Net investment income per share for the first quarter was $0.40 fully covering our distribution to shareholders. Our investment manger at Solar Capital Partners has voluntarily waived $800,000 of incentive fee in the first quarter to bridge the temporary shortfall that we continue to ramp the portfolio towards our target leverage. As a reminder, we committed to waive incentive fees in 2016, so that total GAAP net investment income will be not – not be less than $1.50 per share of distributions. Pro forma for the purchase of the life science portfolio, our leverage is now approximately 0.58 times debt to equity. It will remain on pace to reach our target regulatory leverage of 0.65 – 0.75 times by year end. The first quarter highlights our differentiated growth opportunities and ability to source attractive investments through asset-based lending and life science lending verticals in a period of slow sponsor-driven transaction volume. We continue to anticipate meaningful portfolio growth over the balance of 2016 via the deployment of our approximately $600 million of available capital, which includes anticipated leverage at SSLP. In addition, we see only muted repayment activity on the horizon. At this time, I’ll turn the call back over to Chief Financial Officer, Rich Peteka, to take you through the financial highlights. And then Bruce will walk you through portfolio details.
Richard Peteka: Thank you, Michael. Solar Capital Limited net asset value at March 31, 2016 was $890.6 million, or $21.08 per share, compared to $882.7 million, or $20.79 per share at December 31. At March 31, 2016, our investment portfolio had a fair market value of $1.34 billion, in 56 portfolio companies and 30 industries, compared to a fair market value of $1.31 billion in 54 portfolio companies and 30 industries at December 31. At March 31, the weighted average yield on our income-producing portfolio was 10.3%, measured at fair value versus 10.5% at December 31. For the three months ended March 31, investment income totaled $34 million versus $31.5 million for the three months ended December 31, 2015. Net expenses totaled $17.1 million for the three months ended March 31, compared to $14.5 million for the three months ended December 31. The investment manager voluntarily waived 795,000 of incentive fees for Q1 versus 994,000 for Q4 2015. Accordingly, the company’s net investment income for the three months ended March 31, 2016, totaled $16.9 million, or $0.40 per average share versus $17.0 million, or $0.40 per average share for the three months ended March – December 31, 2015. Net realized and unrealized gains for the first quarter 2016 totaled approximately $11.3 million versus the net realized and unrealized loss of $31.2 million for the fourth quarter 2015. Ultimately, the company had a net increase in net assets resulting from operations of $28.2 million, or $0.67 per average share for the three months ended March 31. This compares to a net decrease of $14.2 million, or $0.33 per average share for the three months ended December 31 2015. Finally, our Board of Directors declared a Q2 distribution of $0.40 per share payable on July 1, 2016 to shareholders of record on June 23, 2016. With that, I’ll turn the call back to our Chief Operating Officer, Bruce Spohler.
Bruce Spohler: Thank you, Rich. Let me begin by providing an update on the credit fundamentals of our portfolio. The financial health of our portfolio companies remain sound, with the trends of continued modest growth and deleveraging continuing through the first quarter. On average, the most recently reported latest 12 months revenue and EBITDA across our portfolio companies for which we hold debt securities was up 5.2% on revenue and 9.7% on EBITDA, respectively, consistent with Q4’s results. Measured at fair value, weighted average interest coverage for our portfolio companies was 2.7 times at March 31, again, consistent with the prior quarter reading. At the end of the first quarter, the fair value weighted average EBITDA for our portfolio companies was just under $90 million. Clearly, we’re operating at the large end of mid-market. The weighted average investment risk waiting of our portfolio was 2.1 times when measured at fair market value, based on our 1 to 4 risk rating scale with one representing the least amount of risk. Measured at fair value just under 100% of our portfolio was performing at March 31. On a cost basis, our one investment on non-accrual accounted for 0.6% of the total portfolio. Excluding this one 2007 legacy asset, Direct Buy, our portfolio is performing extremely well. Furthermore, as Michael mentioned, we continue to have no direct exposure to the oil and gas and commodity sectors. At March 31, the weighted average yields on our income-producing portfolio was 10.3%. On a current cost basis, the weighted average yield on our income-producing portfolio was 10.1% at March 31. During the first quarter, our NAV increased 1.4% due to a combination of mark-to-market appreciation, resulting from the rally in the liquid credit markets, as well as fundamental improvement across specific credits, including WireCo and Global Tel Link. We continue to expect to fully recapture the unrealized mark-to-market losses on our portfolio in the second-half of 2015. Now, I’d like to provide some color on the composition of our comprehensive investment portfolio, which includes Crystal Financial’s full portfolio of asset-based loans, as well as our ownership of the Unitranche Loans held in the SSLP. At the end of the first quarter, our $1.55 billion comprehensive investment portfolio included 81 distinct issuers across 37 issuer – industries with neither direct energy nor commodities on that list of industries. The average investment per issuer is just over $19 million, a 1.2% of the comprehensive portfolio. Our single largest investment is 4%. When measured at fair value, 92.6% of our portfolio consist of senior secured loans. Remainder of the portfolio was comprised of 4.7% subordinated debt, and 2.7% equity and equity like securities. At 3/31, approximately 92% of our income-producing comprehensive portfolio was floating rate, when measured at fair value. Before I turn to our investment activity, I’ll provide a brief update on our strategic initiatives, as well as two specific credits. At March 31, our life science portfolio totaled approximately $136 million at fair value of first lien senior secured loans across 11 issuers with an average investment size of just over $12 million. The average all in BDC yield, excluding potential success fees is 10.8%. Be mindful that the blended realized IRR on our life sciences investments to-date exceeds 20%, when factoring in warrants and success fees. During the first quarter, the life science platform originated $70 million of investments across two new and one existing portfolio company. There were no repayments during the quarter. As Michael touched on, after the close of the first quarter, we completed the purchase of Capital One’s Healthcare Financial Solutions portfolio, which Capital One had previously acquired from GE last year. The approximate $74 million par value portfolio that we purchased is comprised of senior secured first lien loans to 14 different borrowers with an average loan investment of $5.3 million. The portfolio is well-diversified across drug discovery, healthcare information technology, medical devices, as well as healthcare diagnostics. Based upon our purchase price, we expect the mid-teens IRR on this portfolio and a contribution of just under $0.02 per share in the second quarter and approximately $0.03 per share in Q3, when we will held the portfolio for the full quarter. With our available capital to make strategic acquisitions and the experienced investment team, Solar Capital was in a unique position to take advantage of this proprietary investment opportunity. Our life sciences teams underwriting expertise with many of these specific investments, while they were previously employed at GE facilitated the due diligence process to re-underwrite these investments. The transaction, which was offered on an exclusive basis to Solar, accelerates the ramp-up of our life science portfolio to approximately $210 million of par value across 25 borrowers with an average investment of $8.5 million. We are ahead of schedule in building out our diversified life science portfolio with a target of $250 million, and currently have an active pipeline of attractive investment opportunities beyond this portfolio purchase. Now, let me turn to Crystal. Crystal, as you know, is our stretched first lien asset-based lending platform. Crystal’s loans benefit from collateral coverage and tight covenants, which provide a differentiated and attractive risk return profile relative to our cash flow lending business and has a low correlation to traditional leverage credit markets. The asset diversification differentiating growth opportunities and countercyclical nature of Crystal’s investment strategy are highly complementary to our lending platforms and represent significant strategic value to the Solar platform. At 3/31, Crystal had a diversified portfolio consisting of approximately $500 million of funded senior secured loans across 29 borrowers with an average exposure of approximately $17.25 million. During the first quarter, Crystal funded new loans totaling just under $60 million and experienced repayments of approximately $22.5 million, representing approximately 8% portfolio growth contrasted with the prior quarter. All of Crystal’s investments, a floating rate senior secured loans. For the first quarter, Crystal paid Solar a cash dividend of $7.9 million, representing a 11.5% annualized cash-on-cash yield, consistent with the prior quarter. Crystal’s effective advance rate on their current credit facility was just over 50% at March 31. Now, I’d like to provide quick update on two portfolio companies, whose credit fundamentals and fair values improved significantly since year end. Wire Rope, at 3/31, the fair value of our $48 million par investment in the private senior notes of WireCo was marked at 94.25%, up approximately 10 points from our mark at year-end. And post quarter end, some trades have occurred just over 97% at par. The company, which is a leading manufacturer of Wire Rope has engaged Goldman Sachs to explore strategic alternatives to address the company’s upcoming loan maturities next year. While WireCo faces some headwinds with a portion of its business derived from the oil sector, it also sells Wire Rope into a wide range of industrial applications and their business appears to have stabilized. We remain extremely confident that our loan will be paid off in full, but continue to closely monitor the situation as the company approaches its debt maturities next year. Now, let me turn to Global Tel Link, a prison telephone operator investment. At March 31, we had an aggregate $26 million par position in Global Tel, a leading provider of prison phone and security systems. In early March, the D.C. court appeals granted a partial stay on the SEC’s rate order from last fall. We view the stay announcement as a positive for the GTL credit, which has helped to assuage some of the market’s concerned around the regulatory environment that the company is facing. Additionally, GTL continues to perform on an operating basis, generating stable EBITDA growth and consistent deleveraging trends. We continued to add to our GTL exposure in the first quarter within an additional opportunistic purchase of just under $1 million of the company’s first lien term loan at a price of approximately $0.73, at par, representing just under 13% yield to maturity. Including our secondary market purchases of the first lien loans for GTL in the fourth quarter, our total first lien purchases are now approximately $7.5 million at an average purchase price of $0.77 on the dollar. At March 31, the price disposition was marked at – just under $0.91 on the dollar, representing a 16% unrealized gain. As of this morning, the same security was quoted in the low to mid-90s and our investment in GTL second lien was quoted at $0.78. We continue to remain encouraged by the prospect of being repaid in full on our investment in GTL. Now, I would like to turn to our first quarter portfolio activity. During the first quarter, Solar originated approximately $43 million of senior secured floating-rate loans across three new and three existing portfolio companies. Investments repaid during the quarter totaled approximately $31 million. First off, we funded $25 million second lien investments in net assets in support of Pamplona’s acquisition of the company and to take private transaction. Concurrent with signing the definitive agreement to purchase MedAssets, Pamplona simultaneously agreed to sell MedAssets clinical resource management business to Vizient for just under $2 billion. Our second lien investment, which was a bridge financing was repaid in full upon the closing of the sale at the end of Q1 well ahead of our expected timeframe. Solar realized just over 1.04 multiple on our invested capital, given the short duration in this transaction. The downturn in liquid credit markets has translated into better covenant packages, lower leverage levels, and approximately 100 to 200 basis points of incremental yield on new middle market issuers versus what we had experienced last year. For now, pricing for senior – stretch senior middle market loans is holding and leverage levels have stabilized. We continue to believe that first lien loans to our life science initiative, our Crystal platform, and the SSLP offer the best risk reward opportunity in the current environment. Activity is picking up, and we currently see only $6 million of repayments in the second quarter. We were in the fortunate position of having available capital to take advantage of the right opportunities on attractive terms. Now, I’ll turn the call back to Michael.
Michael Gross: Thank, you Bruce. Since the inception of Solar Capital 10 years ago, our portfolio investment and management decisions have been focused on building long-term value and maintaining alignment with our shareholders. As credit market conditions became frothy over the past few years, we consciously migrated portfolio to approximately 90% senior secured subordinated loans in order to create a more defensive portfolio and conservative risk profile. In addition, during the waive of refinancings and elevator repayments, we did not chase the market and we were highly selective in our investments. As a result of choosing not to double or triple our pace of originations, we allow the portfolio to shrink and regulatory leverage to fall to zero on a net basis. Our portfolio decisions were driven by a focus on maintaining our disciplined underwriting standards and acting as a significant shareholder. Over the same period, we developed highly differentiated investment platform through Crystal’s asset-based lending and our life science venture lending businesses. Both strategic lending initiatives are less correlated to our traditional cash flow sponsor lending business and provide attractive risk-adjusted returns, while diversifying our opportunities for growth. We also created strategic partnership with Voya and PIMCO to provide additional origination scale that increase our opportunities and enhance our compatibilities to underwrite Unitranche Loans that we believe offer superior risk reward, protect with full covenants, and control as a $1.1 lender. In spite of the first quarter slowdown in the traditional sponsored finance business, we benefited from our diverse lending platforms with approximately $75 million of $100 million total platform originations coming from asset-based lending and life science teams. Moreover, having available capital enabled us to take advantage of our proprietary investment opportunity to acquire a diversified portfolio of life science loans. This transaction will have a significant impact on net investment income beginning in the second quarter and puts us well on track to increase quarterly net investment income in 2016, beyond the $0.40 per share quarterly distribution. As a result of the steps we have taken, Solar Capital has a very healthy and more diversified portfolio that is 99% plus performing. We are one of the few BDCs who will grow net investment income this year by taking advantage of the current more favorable credit investment environment. We have approximately $600 million of available capital to deploy in our differentiated investment initiatives and are well-positioned for continued growth in 2016. We will always remain highly disciplined in our investment process and prudent in deploying our capital into investments that meet our strict underwriting criteria. At last night’s close of $17.61 per share, Solar was trading at a 16% discount to our net asset value. During the first quarter, our management and investment team had additional stock purchases taking our ownership stake in Solar to 5.8% as of the end of March. Solar Capital continues to be well-positioned with our diversified origination engine, substantial available capital to take advantage, investment opportunities and market dislocations. We believe SLRC is a compelling investment. At 11 o’clock this morning, we will be hosting our earnings call for the first quarter 2016 results of Solar Senior Capital or SUNS. Our ability to provide additional middle market senior secured financing through this vehicle continues to enhance our origination teams ability to meet our clients capital needs. And we will continue to see benefits of value proposition in Solar Capital’s deal flow. Thank you for your time this morning. Operator, at this time, we’ll continue to open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Jonathan Bock with Wells Fargo Securities. Your line is open. Please go ahead.
Jonathan Bock: Thank you for taking my questions. So clearly, we see the benefit of having a diversified platform, and I noticed that, you did predominantly only life science investments in the quarter in addition to the large portfolio transaction – beneficial portfolio transaction that you did in life sciences at this quarter. Yes, we wouldn’t have expected to see zero in terms of the kind of a steady stable cash flow lending business. So can you give us a sense of whether or not that picks up, and walk us through the reason, was effectively – was de minimis this quarter, relative to the market volatility, which we would have thought – would have presented you some opportunities to put some money out there at attractive yields in your core business?
Michael Gross: Sure. Well, I guess, a couple of things, Jonathan. I would say that our core business is evolving, as you know, to incorporate our Crystal platform and our life sciences business. I think on the sponsor business, which has been on platform since inception, as you know, when dislocation occurs, it takes a few months for that to actually drift through to deal activity. So we’re starting to see that activity pick up in Q2, and would expect to see some more sponsor volume. But as you know, we operate at the upper end of mid-market and statistics are out that show volume of transaction activity was off 75% 80% in Q1 for the upper mid-market sponsor community. I would further add that our focus, as you know, was really on the – providing the unitranche spread senior product. That’s the risk that we are most comfortable with other than some opportunistic second liens like the MedAssets investment that we highlighted that unfortunately didn’t last long enough. So that product is starting to ramp, but we see more opportunities, as we get into Q2 and Q3. And that’s why I think you’ll see most of our sponsor activity.
Jonathan Bock: Got it. And then, Michael, you mentioned the mid-teens IRR on the new purchase of life science’s assets just a question here. What’s the actual coupon coming off of that in that portfolio on average today?
Michael Gross: Yes. The coupon is consistent with our current portfolio in the mid to high-teens. But given purchase price discount that we will be amortizing as we do any of our closing fees on deals over the life of the security. That takes you up to mid-teens, assuming their health and maturity. But as you know, most of these will repay in prior maturity. So there’s some upside on that yield. But the yield is nothing more than upfront discount and the coupon.
Jonathan Bock: Got it. And then in terms of dividend policies with the acquisition of the life science portfolio with recent – and adding recent NOI going forward in the potential further mid-teens on the levered SSLP, is that grows, we’re pretty solid in seeing that Solar will start over earning the dividend as you have – as you grow leverage. And I would love to get your thoughts on dividend policy and spillover right, because you’re in a pretty unique position and a lot of folks can really be growing earnings in this environment and relative to their dividend, at least, and view on whether you pay more out, or whether you retain it, would be helpful?
Richard Peteka: Yes, I think what we – as we talk or we expect to be able to March earnings in the mid-40s level, I think, when we get there, we believe it’s sustainable that we have visibility over the next several quarters that will stay at that level. We’ll sit down with the Board and talk about increase our dividend. We do expect to increase our dividend at that time. And – but we wanted to do in a way that we provide adequate excess covenant as well.
Jonathan Bock: Okay, great. I’ll hop back in queue. Thank you.
Richard Peteka: Thanks for your time.
Operator: Thank you. And our next question comes from the line of Mickey Schleien with Ladenburg. Your line is open. Please go ahead.
Mickey Schleien: Yes, good morning, everyone. I was hoping you could give us an update on the SSLP’s credit facility, and the trajectory we might expect for growth in that vehicle?
Bruce Spohler: Yes, I think to Jonathan’s question around the sponsor business, that is maybe where we’re focusing our sponsor activity is on the SSLP. We do have some transactions that are in pipeline as well as some things that we thought about perhaps moving in from on balance sheet that are some nice – low risk, but also lower returns that would benefit from the structure. So I think you’re going to see that pick up as we move into the second-half of the year. And I think as we talked about, we’re looking to time the closing of a credit facility. So that we can begin to leverage that entity as we have over at Solar Senior with FLLP.
Mickey Schleien: Bruce, can you just remind us what kind of terms you’re thinking about for the facility?
Bruce Spohler: Yes. The borrowing costs are in the L-2.75 area all in with upfronts, again, pretty similar to what you’ve seen us have and others on platform its borrowing base depending on the assets your – leverage – your advance ratios are anywhere from 0.55 up to 0.7 and it’s living breathing advance rate. So as the underlying credits improve, you can increase the advance rate in the effective leverage. But they tend to range between 1.5 and 2 turns of leverage and there are non-recourse facilities looking only to the assets.
Mickey Schleien: I understand. In the past, you disclosed that the senior secured portfolio, if I recall correctly was in the neighborhood of 60, 40 second lien and first lien. But we’ve got lot of moving pieces now and with the addition of this new life sciences portfolio and the Unitranche strategy. Could you perhaps give us an update on what is, at least, within a range what is through the first lien and second lien and to the extent, you’re selling our first lien pieces, what’s Unitranche?
Bruce Spohler: Yes. So as we mentioned our – as we look at – look through to your point, our comprehensive portfolio with this life science acquisition approaches $1.6 billion. And it is predominately first lien either Life Sciences, Crystal or Solar, traditional Unitranche. I would say that that number is approaching of second lien, as we continue to rotate out, is approaching roughly 30% with first lien being closer to 70%.
Mickey Schleien: And that 70% includes the Unitranche deals?
Bruce Spohler: Yes, yes.
Mickey Schleien: Okay. And do you – how actively do you sell out first pieces of Unitranche?
Bruce Spohler: Not at all.
Mickey Schleien: Not at all, okay.
Bruce Spohler: Just to be real clear there, I think that’s a great question. We generally – our attractive to Unitranche, because it is $1 risk and are uncomfortable by and large selling off the first lien in order to try to enhance our economics and effectively we create a first lien – second lien structure in a first out – last out. So…
Michael Gross: We’d rather be in that securitization and get our additional return to additional leverage against the asset itself along itself as opposed to putting more risk in the world of enrollment.
Mickey Schleien: I understand. My last question, I’m sure you’re frustrated that the stock is till trading below book value, although, obviously it provides an opportunity to buy back shares at accretive price. But from my perspective, perhaps one of the reasons that continues to be the case of the fee structure, which is to some extent out of line with more recent vintage BDCs. Is the Board taking a look at that at this point in time? And what is the outlook for perhaps a change in the fee structure to bring it more in line with the – with your competitors?
Bruce Spohler: Yes, we talked about it on a regular basis as you would expect us to, I think the Board and most of our significant institutional supporters who have been with us for years, to your point, it’s an old structure, but I guess might not have been around a long time and they take comfort from our behavior rather than the contractual structure as evidenced by us both waiving fees as well as not putting on leverage in order to drive increased fees over the last couple of years that we have seen some frothy credit market. So it is something we continually evaluate. But I think based on the actual fees paid they’re very comfortable with where we are.
Mickey Schleien: Okay. My last question, any comments you can give us on the issues that are confronting Bishop Lifting?
Bruce Spohler: Yes, so as I touched on Wire Rope is the largest manufacturer of Wire Rope for variety of industrial applications including into the oil sector. Bishop Lifting is actually one of their largest customers. It is a distributor of Wire Rope, but that is not their only product. And so Bishop has struggled just as Wire did in terms of its sales of Wire Rope into the oil and gas sector. But they have much broader product offering and end markets that they’re selling into. So there is some technical mark there, but we feel very comfortable where we sit with the investment.
Mickey Schleien: Terrific, thanks for your time this morning.
Michael Gross: Thanks Mickey.
Operator: Thank you. And our next question comes from the line of Ryan Lynch with KBW. Your line is open. Please go ahead.
Ryan Lynch: I have one question, the pro forma you guys Life Sciences portfolios, it says about $210 million. I think you guys also mentioned a target portfolio size about $250 million. Just want to get a clarifications, is that target size based on kind of the capabilities you feel comfortable with the current team like current Life Sciences team you have in place today, or is that $250 million kind of based on relative size share portfolio, when I’m driving that is their potential at – you guys are looked to further expand your Life Sciences team, which would eventually be able to expand that target portfolio size?
Richard Peteka: Yes, good question. I think as mentioned, we are ahead of plan in terms of the ramp of that portfolio. These assets do have high amortization on a monthly basis, once you get typically 12 to 18 months into your investment period and this was the season portfolio. So both the assets that our team originated year or so ago on our platform as well as this portfolio will begin to run off. Having said that, while at GE, the team had its peak of portfolio approaching $500 million, so I think it’s fair to assume that we would see a target that would approach $300 million given how quick we ramped here. But bear in mind, the team similar as the rest of the Solar platform, shares are conservatism in terms of underwriting. And so we’re trying to keep them focused on taking the best-in-class assets out there rather than growing the portfolio then in particular size, but I think there is some upside beyond that 250.
Ryan Lynch: Okay, great. That’s actually helps me. Thanks.
Michael Gross: Okay, Chris.
Operator: Thank you. And our next question comes from the line of Chris York with JMP Securities. Your line is open, please go ahead.
Christopher York: Good morning guys, and thanks for taking my questions. Some following up on Jonathan’s and Mickey’s questions a bit. So the manager has waived fees for a three consecutive quarters and so I was hoping if you could provide us an update on how we should be thinking about the sustainability in those fees, given that the purchase of their Life Sciences portfolio is now going to bring earnings above the dividend run rate?
Michael Gross: Right, I think where we said pretty clearly on the conference call two months ago that we had volunteered to the Board as a manager to waive whatever incentive fees we took to make sure that we earned – not unchanged.
Christopher York: Okay, and then secondly, so I believe pro forma balance sheet leverage for the portfolio acquisition is maybe around 0.56 times. Would you say it below the target leverage of 0.65? So fully ramped, what you expect the ROEs should expand too?
Richard Peteka: Look as we said, when we hit our target debt-to-equity we expect to be in the mid-40s on terms of earnings, on a quarterly basis and when we get SSLP fully ramped, which is no additional leverage to us effectively on a regulatory basis, that number should grow beyond that.
Michael Gross: And Chris, the target is 0.65 to 0.75.
Christopher York: Okay. 0.75, okay. So that would maybe, so 9% ROE kind of on the net investment income basis, sound about right?
Michael Gross: Probably a little higher when you get SSLP fully ramped.
Christopher York: Got it, okay. And then lastly for me, it look like Aeropostale filed reorg paperwork in Manhattan and it appears that Crystal is providing the dip. So I was curious, if you could provide us an update on the terms of this facility, and then if you have any exposure related to the bankruptcy?
Bruce Spohler: Yes, we’re…
Michael Gross: Yes, we went into the part of bankruptcy, this was a strategy. We put the money as a dip going to bankruptcy and that’s what it based on.
Bruce Spohler: And you should see some exposure on both Crystal as well as Solar’s balance sheet. Question will be sort of how long the duration will be based on the company’s strategy? But we’re excited that we can capitalize on Crystal’s longstanding track record of lending to and investing in retailers and underwriting their current assets. And so we think this is the unique opportunity. Crystal was extremely well-positioned and we expect to see more of these.
Christopher York: Great, that’s it from me. Thanks, guys.
Bruce Spohler: Thanks.
Operator: Thank you. [Operator Instructions] Our next question comes from line of Doug Mewhirter with SunTrust. Your line is open. Please go ahead.
Douglas Mewhirter: Hi, good morning. I just have one question. I think you bought back a few shares this quarter kind of slow. What – how are you approaching share repurchases? I know you had that the big life sciences purchase, but you’re still relatively under levered and the core sponsor business is still trying to get traction. So if the core sponsor business is still a little slow in the second quarter, would you anticipate repurchasing additional shares?
Richard Peteka: The answer to current level is, no, we’re trading pretty close to $0.09 book value. We don’t think it’s a great use of capital to buyback stocks yielding dividend in $0.08 and given our potential return on new investments. That said, we put the plan in place to originally to allow us to buy stock in periods of extreme dislocations. The stock we bought was sub-$15, which we think was a great purchase price sub-$16, I’m sorry, a great purchase price. And so you should expect that we come back into our blackout period, where we put other 10b5 plan in place. So that if we do hit extreme dislocation again that we have the ability to buy stock.
Douglas Mewhirter: Okay, thanks. That’s all my question.
Operator: Thank you. And our next question comes from the line of Christopher Testa with National Securities Corporation. Your line is open. Please go ahead.
Christopher Testa: Hi, good morning. Thanks for taking my questions. Just with your remarks on better covenants and structure from last year, I was just curious how you see those – how you see those different in the sponsor or non-sponsor sides of the business?
Bruce Spohler: Sure. On the non-sponsor slide and that’s pretty much where Crystal operates. There’s always covenant packages, it’s just a matter of degree of tightness. But that is generally not a covenant like product. I would say, the same is true for Unitranche, which is another reason we like it in addition to being $1 in the capital structure of the borrower is that, they do come with full covenant packages. I think where covenants have come in is in the broader market. You’ve seen less – light issuance in the first quarter, obviously, there was also not a lot of issuance in an absolute basis. But you have seen covenants come back into some of the syndicated structures in order to clear deals.
Christopher Testa: Okay, great. And with the life sciences, one thing, are you seeing less competition, more people kind of pulling back there? And also with regards to life sciences, where are you seeing most of the pipeline of opportunity there in terms of ROE intermediate late stage et cetera.
Bruce Spohler: Yes. So the life science business really hasn’t changed dramatically. It is a clubby business, in which two or three people who maybe four who would operate in it, tends to share paper with each other depending on who wins the mandate. It’s not typical for somebody to take down the whole deal, again, it’s a club deal. And the only real change that happened is obviously GE exiting the business, also having the good portion of bringing their team on our platform and now Capital One exiting the business as part of the sale of the portfolio to Solar. I’m sorry, second part of your question?
Christopher Testa: Just, where Life Sciences, where the pipeline is most concentrated whether it would be early stage or later stage?
Michael Gross: Yes, so our key focus is on late stage exclusively that’s where we are most comfortable from a risk perspective that we have diversified portfolio of drugs or devices that has either commercialization in some cases, some of our deals are actually have revenues and we have an occasional deal or two that has positive cash flow, which is unique for the sector. But we like late stage, we don’t like binary outcome, we feel that’s more of an equity play where you’re taking a lot of warrants and you’ll have some wins and losses. So our team has a phenomenal track record in consistency of returns and that’s where we like to play and that tends to be in late stage.
Christopher Testa: Great, and just with the unrealized depreciation, do you have an indication of what percentage of that came from specific credits, and how much was from the general recovery and markets at the end of the first quarter?
Richard Peteka: Yes, I would say that roughly 60% was from specific credits and as you know the mark was up a little bit by the end of the quarter and so call it 40%, or so was across the market.
Christopher Testa: Great, that’s all for me. Thanks guys.
Michael Gross: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Rich Shane with JPMorgan. Your line is open. Please go ahead.
Richard Shane: Thanks, guys for taking my question. Just like a little bit of additional information on the portfolio you bought from Capital One, specifically that was a pretty significant acquisition for them, love to understand why this specific portfolio that you acquired wasn’t a good fit and what for them and why it is for you?
Michael Gross: Yes, I mean I’m not going to speak for them, but our speculation is that this was a very small piece of the entire healthcare portfolio that they bought from GE. And one of the reasons is why GE add to the business was regulatory issues and frankly these assets are quite expense from regulatory perspective for the commercial banks to whole given that there is no cash for these businesses. And so I think given the size of it, they decided to divest it and given that we had a very unique knowledge base of the portfolio. We were the logical party for them to go to and they did so effectively and exclusive basis. And for us it basically allowed us to move towards our goal and our ramp with asset, but our team knew and we’re able to re-underwrite and add additional diversification and met all of our return environments.
Richard Shane: Got it, okay. And I apologize, we’re bouncing around between conference calls today, so if you mentioned this specifically, I know that you were the exclusive bitter for this, but did they actually approach you directly because of that history?
Michael Gross: Yes.
Richard Peteka:
.:
Richard Shane: Great, thank you, guys.
Michael Gross: Thank you.
Richard Peteka: Thank you.
Operator: Thank you. And I’m showing no further questions, and I’d like to turn the conference back over to Mr. Michael Gross for any closing remarks.
Michael Gross: Thank you, very much for your time and attention this morning continued support, we look forward to talking to you in next few weeks and at the end of our next quarter.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program, and you may all disconnect. Everyone have a great day.